Operator: Good day, ladies and gentlemen, and welcome to the Great Southern Bancorp Inc. Second Quarter 2019 Earnings Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today’s program may be recorded. And now I would now like to introduce your host for today’s program, Kelly Polonus Investor Relations. Please go ahead.
Kelly Polonus: Good afternoon and welcome, this is Kelly Polonus, Investor Relations for Great Southern Bancorp Inc. The purpose of this call is to discuss the company’s results for the quarter ending June 30, 2019. Before we begin I need to remind you that during the course of this call we could make forward-looking statements about future events and financial performance. You should not place undue reliance on any forward-looking statements, which speak only as of the date they are made. These statements are subject to a number of factors that could cause actual results to differ materially from the results anticipated or projected. For a list of some of these factors, please see our disclosure in our second quarter 2019 earnings release. President and CEO, Joe Turner, and Chief Financial Officer, Rex Copeland, are here with me. I’ll now turn the call over to Joe Turner.
Joe Turner: Okay. Thanks, Kelly. Good afternoon, everybody. And I also want to thank you for joining our second quarter earnings call. As is typical, I’ll provide some preliminary remarks about the Company’s performance, and then turn the call over to Rex Copeland, who will go into more detail about the income statement. We are excited about the way the quarter wound up. If you’ve had a chance to review the earnings release, you’ve seen that we did earn $1.28 per share and $18.4 million. We saw good loan growth during the quarter. We further improved on our operational efficiency. We did experience a little bit of net interest margin during the quarter, which Rex will provide color around. Some operating metrics that I want to highlight, our return on common equity was 13.24%, our return on assets was 1.52%, our margin was 3.97%, and our efficiency ratio was 54.5%. That’s for loans. We feel very positive about our loan portfolio. We’ve had good growth in 2019 so far. I think our loans are up – funded balances are up $124 million from the end of last year of $62 million I guess in each quarter, I think, so nice loan growth so far. Our gross loan balances are $42 million from the end of 2018. Our committed pipeline continues to be at about the same levels. So we continue to have a strong pipeline. I will say just anecdotally, it seems like to me things on the loan side are starting to tighten maybe just a bit. As I said, our pipeline is still strong, but there seems to be maybe slightly less deal flow than there was slightly fewer deals out there and so the competition is probably becoming even more significant. Asset quality continues to be strong. We’re coming off historically low levels. We’ve told you before that asset quality can be kind of lumpy and we did add a $6.7 million relationship to our non-performing during the second quarter, and in fact that relationship, during the first week of July, has transitioned into other real estate. But this is a credit that we’ve had on our books since ‘07 and we’ve been watching it for some time but even after adding this relationship to our non-performing, our non-performing assets to total assets was still relatively low at 0.33%. Our capital position continues to be strong. Our total capital or total common stockholders’ equity is $572 million or 11.7% of total assets. Our book value increased from $38.36 to $40.30 from the end of last quarter. The ratio of tangible common equity to tangible assets is very strong at 11.6%. We do want to point out that $32 million of our equity, it is GAAP equity, but it’s based on – it’s derived from unrealized gains on our available-for-sale securities portfolio plus the mark-to-market gain on our cash flow hedge. So as you think about our capital, you may or may not want to net that part out. We were pleased during the second quarter to declare a regular quarterly dividend of $0.32 per share. That concludes my prepared remarks, I’ll turn it over to Rex Copeland and then we’ll open it up for questions after Rex completes his presentation.
Rex Copeland: All right, thank you, Joe. As Joe stated earlier, we did see a little bit of compression in our net interest margin. The margin was 3.97% in the second quarter of this year compared to 4.06% in the first quarter of this year and 3.94% in the second quarter of 2018. So compared to the 2019 first quarter, the compression in our margin was really caused primarily by higher average rates on deposits and little bit on borrowings, but mainly on deposits and it’s just slightly lower yields on our loans due to LIBOR interest rates coming down just a bit in the second quarter. The positive impact on our net interest margin from the additional yield accretion continued in the quarter. If you compare second quarter of this year, second quarter of the last year and then first quarter of this year, the accretion added 12, 10 and 13 basis points each of those quarters, respectively, to our net interest margin. Our net interest income dollars were up though from the year-ago quarter and in most recent quarter. Net interest income for the second quarter of 2019 increased $3.7 million compared to the second quarter of last year to a total of $44.9 million. And then our net interest income was up about $300,000 from the first quarter of this year. So we continue to see growth in our assets, growth in our net interest income dollars, but a slightly lower net interest income or net interest margin as a percentage. One thing to note, we did record loan interest income of $568,000 in the second quarter related to the interest rate swap transaction that we did late last year as part of our ongoing interest rate management strategy to kind of help us mitigate any issues with falling rates that we might have. So again, under the terms of the swap, we are paid a rate of about 3.02% fixed and then we pay a floating rate on that, which is live or so. The rate most recently when it reset this past month was 2.4%. So we do have a margin there that we – are spread there that we are receiving the benefit of. Like everybody else on the call, we’re very interested in what the Fed will do on July 31st with their interest rate decision. We’ve indicated in the past filings that we model various scenarios of rates up and down and then non-parallel and parallel shifts. We do believe that falling rates will be modestly negative for us. We do have about almost $1.6 billion of loans that are tied to primarily one-month LIBOR, some three-month, but they’ll re-priced based on LIBOR index within the next 90 days. So here we do have a fair amount of our portfolio is variable rate tied to LIBOR. We will do what we can to manage the funding cost side and work hard to be able to reduce some of our cost as if and when rates fall in the market and on the liability side of the balance sheet. Non-interest income for the quarter decreased by $302,000 compared to the second quarter a year ago related to reductions primarily in service charge, ATM fees, some commissions and then net gains on loan sales where we originated left fixed rate loans that we sell in the secondary market and more fixed to variable rate mortgages, which we generally retain in our portfolio. We did offset some decreases there with an increase in income related to new debit card contracts, which became effective at the beginning of 2019. So we did derive some additional income from that. Non-interest expenses, I think we’re still tracking well on our expense containment and operational efficiency. As Joe mentioned, our efficiency ratio earlier was at 54.5%. Non-interest expenses were down about $1.5 million from the second quarter comparison of last year. A big driver of this was lower expenses related to other real estate owned and repossessions. And that was the majority of the decrease related to write-downs in the prior-year period on certain of our foreclosed assets. The decrease was offset a little bit by some increased as we had about $481,000 increase compared to the year-ago quarter in salaries and benefits just related to additional staffing in various areas and the new loan production offices in Atlanta, Denver, as well as other areas. And then also, other operating expenses increased about $192,000. The majority of that and we mentioned it in the earnings release related to pledge commitment that we made in our Sioux City, Iowa market for $250,000 that will cover a 10-year period for the work that they’re doing to expand and sort of remake portion of their downtown area with an Expo Center and some other hotels and other businesses that are going into that area. Again, I mentioned our efficiency ratio was 54.5%. That compares very favorably to the second quarter of last year, which the ratio was about 61.5%. So we continue to increase our revenues without a commensurate increase in our non-interest expenses. Along those lines of efficiency. I’ll talk about just little briefly a couple of business initiatives, fairly small, but the things that we did mention in our earnings release, we got a couple of locations that we’re – either have or will close, our Fayetteville Arkansas banking center has been consolidated into the Rogers Arkansas office, and we also recently announced plans to consolidate our Ames, Iowa banking center into our office in Ankeny Iowa that will be late third quarter in September. So, I think that concludes all of our prepared remarks. So at this time, we can open it up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Andrew Liesch from Sandler O’Neill. Your question please.
Andrew Liesch: Hi. So I just wanted to focus on deposit cost here, looks like they up about maybe 8 or 9 basis points this quarter, I guess, interest bearing funding cost like what, and I know you added some of the Internet CDs and CDARs in the first quarter. So maybe just full-quarter effect of that is pushing up the funding cost, but what can you guys do right now? Have you lowered your offered rates right now that kind of mitigate the effect of the drop in LIBOR?
Rex Copeland: We have on some things either working on some of that. we haven’t lowered the majority of the rates probably, I’d say, part of it is also negotiating on CDs. We’re negotiating at lower levels than we were maybe two, three, four months ago. We’re mindful of what competition is doing as well. Our Home Loan Bank advance rates are down a bit. There are sort of tracking more along with the change in LIBOR, most of our borrowings from – well, pretty much all of our borrowings from the Home Loan Bank our overnight-type borrowings at this time. So we’re trying to kind of manage through this process right now. It seems like, I mean, if you think about it, really the rates started to transition maybe a month or two ago. I don’t think all of it necessarily I will filter through yet, but I’d say that we are seeing as far as like on month-to-month basis, I think overall the cost of deposits, the growth in that cost is slowing compared to the change that we saw in the like fourth quarter and first quarter, and even part of the second quarter of this year.
Andrew Liesch: Okay. And then, can you just make a couple of comments on the decline in deposits in the quarter, what drove that?
Rex Copeland: A little bit of it was seasonality, but I mean a lot of it has some retail CDs. We continue to have a lot of competition in some of our markets with people running specials and things like that. And then, some of it’s just fluctuation in non-interest-bearing deposits, non-time deposits, but I’d say retail CDs are coming down some, and then some of our interest-bearing and non-interest-bearing non-time deposits [indiscernible] fluctuating in there.
Andrew Liesch: Okay, that’s helpful. And then, you guys have done a good job on expense control over the last several years. If I just take the $28.5 million or so and back out the OREO costs, maybe a little bit under $28 million. Is that a good run rate to you, could it be a little bit better than that just with the branch consolidation?
Rex Copeland: The branch consolidation is not going to make a huge difference. I mean, I can’t tell you specifically on Ames, but I’m guessing our non-interest expense at Ames is probably in the $25,000 to $30,000 a month range. So that’s not going to make a huge difference. I mean, I think we’re doing all the right things on expense control right now. So I do think with our ORE balances going down, we should generally see the trend of ORE expense continues to decline. Same thing there, I mean, our – I think the quality of our automobile portfolio – I mean, the total of our automobile portfolio is shrinking obviously and the quality of what remains is probably getting a little better. So over time, I think the trends in that lines should be somewhat down. I don’t think there is a whole lot more we can do to really reduce expenses. Our focus is going to be to grow the Company where we can and sort of maintain expenses, so that will gain better leverage.
Andrew Liesch: Okay. Thank you. Those are all my questions.
Operator: Thank you. Our next question comes from the line of Michael Perito from KBW. Your question please.
Michael Perito: Thanks for taking my questions. I want to maybe stick on the expense side of things for a second here and follow up Andrew’s question. We’re seeing, at least I’m seeing more and more of your peers kind of start to invest more heavily in technology and leadership as they plan for growth and whatnot, and obviously, you guys have done a nice job of keeping that expense growth fairly limited for almost three years now. And I’m just curious as you budget out into 2020 and think about that, I mean, is there a point where it doesn’t make us much sense to have the limited expense growth where there’s investments that really need to be taken into account to kind of continue to grow the bank? Or are we not quite there yet, and is there still some things that you can do to kind of offset any investments you’re making on a broader basis?
Joe Turner: Well, I mean, yes, I agree with the premise of your question, Mike, that not all expense is created equal and that expense that you need to have in order to invest in your bank and good people, that’s one of those expenses. And then, you need to make sure you have attractive technological offering, the kind of technological offerings that are attractive to customers. And honestly, I think we do, we are though in the process of upgrading our online banking platform and we have been improving our mobile platform too. And we’re not just guessing, we’ve actually surveyed our customers and surveyed our customers against other financial institution customers and I think our customers seemed to like our offerings, but we are going to be investing and improving those.
Michael Perito: So as you guys think out, I mean, you basically have had an expense run rate annually in the $112 plus million range for almost three years now. I mean, you’re pasting the same this year. I mean, do you think next year that realistically given everything going on the industry today that number of trends, maybe a little higher? Or do you think there is still room to kind of offset what you’re doing on the investment side with other corrections elsewhere within the Company?
Joe Turner: I mean, I would think significant – to the extent we had significantly higher costs on our technological offerings. We’re not going to be able to offset those somewhere else in the Company. But I don’t know, Mike, that that’s going to dramatically increase our run rate. I mean, I do think for it probably reasonable to expect our non-interest expense to probably go up each and every year because of new technology and other reasons. Part of the reason we’ve been able to hold our non-interest expense level is, I think, generally that ORE line has trended downward. And that’s helped us to hold the overall level. So I think, you look at other things, our employee costs are from where they were I think a year ago. So, yes, I mean, I do think our expenses will probably trend up and I think if we were to try to hold them at $112 million kind of run rate because of what that means for your people because of what that means for your investment in technology, I think it would [indiscernible] our growth.
Michael Perito: Got it. Very helpful, Joe. Thanks for that color. And just secondly, I wanted to ask on the margin. As I think about kind of where your core margin excluding the purchase accounting is trending, if I go back to ‘15, first few quarters of ‘15, I think you were in like the mid-to-low 3.70% range, today, you’re in the 3.85% in the second quarter, low 3.90% in the first quarter, but I mean, the mix of the loan portfolio has changed a little bit, you have some higher yielding loans with the bigger construction mix and then obviously you’re doing some stuff on the hedging side. As we think about where your NIM could trend as rates start to move the other way here after benefiting from that moving up the last year, but taking into account some of the things that you’ve done, how are you thinking about the core NIM trend over the next few quarters, assuming the consensus economic outlook is reasonably accurate and we start to get at least one or two cuts in the Fed funds?
Rex Copeland: All right. So you’re right, Mike, if you go back and looking at – I’m looking at our schedule of net interest margin on a core basis here, we were, like you said, in the 3.70%, we trended down in 2016 and ‘17 into the 3.60% and 3.50%, high 3.50%. We started back up again to 3.80% in 2018 and kind of peaked out I think here at 3.93% for a couple of quarters and drop back just a little bit this time to around 3.85%. And I think if you look at our earnings release, we have our average balanced and rates and yields table in there and you can see for the quarter and year-to-date kind of what our spreads have been and what our margins was like. And at June 30, and again this is a point in time, our spread was 3.51%. So for the quarter, our average spread was 3.64%. So it’s a little bit lower, but the difference in there to get that kind of through the margin is going to – and that 3.51% does not include accretion income. So that’s excluding whatever accretion income we would look.
Joe Turner: And the 3.64% does, right?
Rex Copeland: Right, the 3.64% does. That’s right. So roughly 12 or so basis points in there for that.
Joe Turner: So in other words, I think what Rex is saying is that, our spreads during the quarter – during the second quarter was roughly equal to our spread point in time when you normalize for and to get from a spread to the margin, I think what you have to do is, take your the extent to which your average interest earning assets exceed your average interest-earning liability and multiply that by the rate on your average earning liabilities to get to where you might be. I think, I agree with Rex, I mean, that’s probably the – as you guys want to put together what our margin is, I think, that’s your best – I think that’s the best tool you have is to use the point in time rate that we’ve given you and just calculate what you think it’s going to be during the third quarter. Now, I mean I think what we’ve told you is that we do think that interest rate decrease are going to be modestly hurtful to us. I don’t think anybody expected to be dramatic, but it’s probably, certainly not helpful and probably could hurt us slightly.
Michael Perito: Great.
Rex Copeland: We’ve already seen some of the pain on the asset side with LIBOR moving down. So like I said before you – we’ve seen some of our overall loan yield come down a little bit, but if the Fed cuts LIBORs probably going to go down some more, so we will continue to see perhaps some lower yield on our portfolio overall by a few basis points depending on the magnitude of the cuts and kind of what they say as far as anticipated future cuts or not.
Michael Perito: Got it. Helpful. And then just the last one, the tax rate in the quarter looked a little lower. Was that a result of the one-time pledging expense or something of that nature or and we’ll turn to kind of where it’s been over the last few quarters going forward or is there something else going on that we should be thinking about?
Rex Copeland: No, there wasn’t really anything particular that was flowing through there this quarter. I’d say, it is just kind of normal generally – it is impacted a little bit by tax-exempt interest income and tax credit activities that we have as far as being able to utilize the credits in writing off the investments in step in those. So I mean, I think what we said the rate for the full year – I mean, if you look at the six-month rate, that’s probably in the ballpark of what our rates going to look like as we get through the next couple of quarters, I would think.
Michael Perito: Got it. Great. thank you guys. I appreciate you taking all my questions.
Joe Turner: Okay. Thanks, Mike.
Operator: Thank you. Our next question comes in the line of John Rodis from Jenny Montgomery. Your question please.
John Rodis: Hey, Joe. So I guess when you were talking about loan trends, you said you’re starting to maybe see some early signs of slowing in demand. Is that across the franchise or is that certain markets? Could you just maybe clarify that a little bit?
Joe Turner: I would say that more maybe across the franchise. It just seems like – and it’s pretty anecdotal. I mean, I guess the hard facts are pipeline, which we published as part of the press release and it’s still pretty strong. And that’s probably what would feel the lion’s share of our loan growth over the next six months anyway. But I just feel like there is maybe a little bit less deal flow and so the competition is a little bit higher for every deal. That’s kind of my general feeling. Now, on the other side, for Great Southern, we’ve got two loan production offices that are basically just starting and they’re are just starting at zero and we’ve got experienced lenders there. So as we’re able, if we’re able and we’re able to grow those offices that will certainly help us grow our loans. For instance, Chicago, which I would still say in its infancy. I think it’s a couple of years old or something and they are at $120 million in loans. So Atlanta and Denver were able to perform like that over the next couple of years, that’s the quarter of $1 billion of loan growth right there. Also, our loans – our consumer loans have been going down more or less $10 million a month and that’s obviously going to slow down, because that portfolio is decreasing and eventually that’s going to stop altogether, because those loans will paid off. So we’ve got some positive things too. I was just more wanting to make a general statement about just my perception and it’s probably, I mean, it’s a perception that’s been formed over the last 60, 90 days. So it could be a result of customers being on summer vacation or whatever, it might be a bit seasonal. But I do – I mean, if you were asking me right now, I feel like the market is starting to just – the new deal flow is just starting to slow slightly.
John Rodis: No, Joe, I mean, that’s helpful. That’s great. And then, Rex maybe just a quick question for you on the securities portfolio. So you saw the securities portfolio go up a little bit. Just sort of the plans going forward is what roughly 6% of assets today, and I guess, do you plan to grow at much further from here, and especially, I guess if deposits trend down more don’t go much higher?
Rex Copeland: Yes, I mean, we just kind of watch that and we’ve been trying to grow a little bit just from the standpoint of the types of securities that we’ve been putting in there are sort of intermediate type, term, fixed rate, multifamily, agency type securities, a lot of what we’ve put in there, help us with our – to try to mitigate down rate scenarios, etc., but also provided a decent yield. The yield was more decent several months ago than it is today. So we’re going to try to bring in a little – few more securities, if we can, as the market presents decent timing to do that as far as rates go and yields on those securities. But, so I think we’ll continue to see some growth in there, but I don’t think it’s going to be anything dramatic. I mean, we probably grown that portfolio pretty decently over the last year. So I don’t think the growth will be at the same pace in the next six months that it’s been in the last 12 months or so.
John Rodis: And it probably stays below 10% of assets, I would assume?
Rex Copeland: Obviously.
John Rodis: Okay. Thanks guys.
Operator: Thank you. Our next question comes from the line of Stan Westhoff from Walthausen & Company. Your question please.
Stan Westhoff: Good afternoon. Hey, I just wanted to follow up a little bit on the big non-performing loan and then I guess subsequent OREO assets now, I guess. How marketable is this property that you just got did it over to you and how long do you think you might take to get it profit balance sheet, I guess?
Joe Turner: Well, I mean, it’s obviously hard to say exactly. I mean, we do think there is activity. It’s actually really four pieces of property and all three are in the Central Missouri area and the one is in Iowa and I think there is activity on each of them and activity or certainly indication at level that would satisfy our investment in the assets. So I think we feel pretty good about where we are right now, but we’re not going to feel really good until they are actually sold.
Stan Westhoff: Yes, I mean, just looking back over time, you guys have not been afraid to hold on to real estate for a time and it’s actually maybe big strides here in the last couple of years here and got it down to I guess, but be a normal level [indiscernible] but your OREOs were actually higher than your non-performing loans. What exactly happened with this property entity, just bought up the land, got it somewhat developed and it didn’t pan out the way we planned?
Joe Turner: Yes. It was – I mean, the relationship as we pointed out in the earnings release was it maybe 12 years old. It was a development that didn’t go well and the person continued to try to market and sell the property and in the interim we’ve been insisting on semi-annual principal reductions and eventually either the customer just got to the point where they didn’t want to make those reductions and we just reached the resolution there.
Operator: Thank you. This does conclude the question-and-answer session of today’s program. I would like to hand the program back to Joe Turner for any further remarks.
Joe Turner: No, I don’t have any further remarks. We appreciate everybody being here or being on the call and look forward to next quarter’s earnings call. Thank you.
Kelly Polonus: Thank you.
Operator: Thank you ladies and gentlemen for your participation in today’s conference. This does include the program. You may now disconnect. Good day.